Operator: Welcome to the Advanced Auto Parts First Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Before we begin, Elisabeth Eisleben, Senior Vice President, Communications and Investor Relations, will make a brief statement concerning forward-looking statements that will be discussed on this call. Please go ahead, Ms. Eisleben.
Elisabeth Eisleben: Good morning and thank you for joining us to discuss our first quarter 2020 results. I am joined by Tom Greco, our President and Chief Executive Officer and Jeff Shepherd, our Executive Vice President and Chief Financial Officer. Following their prepared remarks, we will turn our attention to answering your questions. Before we begin, please be advised that our remarks today may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts are forward-looking statements, including but not limited to statements about our strategic initiatives operational plans and objectives and future business and financial performance as well as statements regarding underlying assumptions related thereto. Actual results could differ materially from those projected or implied by the forward-looking statements. Additional information about factors that could cause actual results to differ materially from the forward-looking statements can be found under the caption forward-looking statements and risk factors in our most recent Annual Report on Form 10-K filed with the Securities Exchange Commission and under similar captions in subsequent filings made with the commission and our quarterly earnings press release. Now, let me turn the call over to Tom Greco.
Tom Greco: Thanks, Elizabeth and good morning to everyone joining. I would like to begin by taking a moment to acknowledge the COVID-19 pandemic and how it affected each of us. No one asked for this crisis and the stories of the loss are incredibly sad. Most important, I sincerely hope you and your families are safe and doing well. Well, there is no playbook on navigating a crisis of this magnitude. Our team members are doing extremely well to adjust to this environment. Over the last few weeks, we urgently adapted to help safeguard our team members and their families, our customers, and our communities. I would like to thank all of our front-line team members and Independent Carquest Partners, who are making tremendous sacrifices to keep our customers on the road. I also want to thank the many AAP team members who’ve turned on the dime to operationalize new ways of working and serving our customers during this time. Throughout COVID-19, we have been focused on three overarching priorities: first, prioritize the health and safety of our team members and customers; second, preserve cash and protect the P&L during the crisis; and third, prepare to be stronger following the crisis. Allow me to provide a summary of how we have approached these priorities. First, well, not a new concept, nothing is more important than the health and safety of our team members and customers, and we’ve gone to great lengths to help protect us. In our stores, this includes the implementation of social distancing and enhanced sanitation practices along with the installation of plexiglass barriers to name just a few. In our DCs, we have made critical changes to how our team members operate, this also includes execution of social distancing, increase cleaning and sanitation, and implementing health check screening. Each initiative in both stores and DCs were supported with a robust training curriculum to help ensure safety procedures were enacted. We also sourced much needed supplies for our team members, including more than a million face coverings. All of this reinforces that when we say nothing is more important than the health and safety of our people and customers, we’re supporting this statement with concrete actions. Secondly, we are laser focused on protecting the P&L and preserving cash during this crisis. In a few minutes, I will outline how the additional cost reduction actions we have taken to reflect the short-term softness in sales, augment pre-existing plans to expand margins. We’ve worked hard to reduce costs, strengthen our balance sheet, and improve cash flow in recent years. As a result, we believe we’re in a great starting position to manage our way through this. Jeff will talk about the important steps we have taken to further solidify our cash position and liquidity to not only weather this storm but to create an environment that positively recovers. Importantly, we remain committed to the strategic return of cash to shareholders, evidenced by the meaningful dividend increase earlier this year and recent dividend declaration by our Board this week. Finally, our recovery path for us, which includes experts both inside and outside the Company is working to help ensure that we’re in an even stronger position to compete following the crisis. We have reprioritized initiatives, updated goals, improved collaborations, and increased beta decision making in spite of the environment. We are now more agile and responsive and deploying timely, relevant, and innovative solution to help meet the rapidly evolving needs of our team members and customers. Now that many states have begun to gradually lift restrictions, we are helping Pro customers to ramp-up and assisting DIY customers to get back to work in daily lives. Our task force is looking at the very best way for us to serve our professional customers, based on developing guidelines, while being mindful of the ongoing needs for safety and social distancing. For our store teams, we are adapting and updating our standard operating procedures for customer interactions, curbside delivery, and parking lot services. Historically, we know that industry has been counter-cyclical, and we’re beginning to see signs of this. We are working hard to be ready to serve our customers better than ever regardless of the environment. Shifting to our performance in Q1, our top line sales were significantly impacted by COVID-19 in the quarter. While an extremely warm winter led to a softer start to the quarter, we saw sales improvements in early March. However, as COVID-19, stay-at-home orders were implemented broadly, we experienced significant reductions in both professional car counts and DIY retail traffic beginning in mid-March and impacting the remaining 6 weeks of the quarter. This led to fewer miles driven, and as a result, our top line meaningfully declined as we detailed in our early April pre-release. Overall, in Q1, our net sales decreased 8.6% to $2.7 billion with comparable store sales down 9.3%. As COVID-19 began to impact us, we quickly took steps to reduce operating expenses. However, the impact of these actions was not enough to offset the rapid decline in top line sales late in the quarter. Our Q1 adjusted operating income declined by 57% to $104 million. Sales during the week ending April 4 were down 28%. On a positive note, this represented the low point of the pandemic impact for AAP to-date and our sales have been improving sequentially each week. Through the first four weeks of Q2, our comparable store sales are approximately in-line with the prior year, and our DIY omni-channel business is growing double-digits, significantly outperforming professional. While there are a number of factors here, from an industry perspective, the DIY business tends to perform well during economic downturn, as unemployment increases, new car sales declined, the car park ages and more customers do their own maintenance and repairs. We also believe the combination of stimulus benefits and the strong execution of our DIY marketing and sales plans have been two additional drivers helping our recent sales performance. In terms of geographies, our Q1 performance was heavily impacted in COVID-19 hotspots. The Northeast, Mid-Atlantic and Great Lakes regions were all down double-digits and particularly challenged in major urban markets. Puerto Rico, which is operating just six hours per week and Canada also experienced large double-digit declines. Our strongest performance within the Southeast Carolina and Appalachia region, which were much less impacted by COVID-19. The difference between low performing and high performing regions in Q1 was more than a 1,000 basis points, representing the largest differential we’ve seen in recent memory, and this differential was well over 2,000 basis points during the key impact of COVID-19. In terms of our professional performance, consistent with previous quarters, we delivered growth through mid-March, however, as the quarter progressed, this segment felt extreme pressure from stay at home workers. As a reminder, our Worldpac and Autopart International businesses, are 100% professional and tends to be in more urban areas. This contributed to drastic reductions in customer car counts, while we believe customers were more likely to adhere to stay at home orders. We took rapid steps to meet the needs of our customers and support them at this time of great needs. For example, our Carquest and Worldpac Technical Institute developed virtual, instructor-led training courses for repair shop owners and their employees. We introduced mode of visual, a best-in-class online platform mechanics in use to virtually explain complicated jobs to customers. Throughout the pandemic, our professional team has stayed extremely close to our pro-customers and we expect this level of support and adaptations will strengthen our relationship as stay-home orders are lifted and business recovers. In Q1, our DIY omni-channel business performed better than Cars with significant growth in our e-commerce business. Our team accelerated existing DIY omni-channel initiatives and several new ones to better serve our customers, both online and in-store. Consistent with our plan announced in February, we launched our new mobile app that is getting great reviews and feedback from customers. As an example of the team’s agility, in March, we launched a suite of services re-branded Advance Same Day. This includes in-store pickup, herbicide and advanced same-day delivery, also offering contact-free fulfillment options. These initiatives were rapidly accelerated and include a fully integrated marketing plan, to let customers know we are here for them. Assuming like Q2 and beyond, we remain focused on four primary areas to build on current momentum within our DIY omni-channel business. These are first, launch DieHard; second, build awareness; third drive loyalty and fourth, execute with excellence. Let’s start with DieHard. Throughout the crisis, we prioritized initiatives that we believe will offer the potential for the best returns. One of those initiatives is the launch of the iconic DieHard brand, which is on-track for this summer. We believe DieHard is a differentiator for Advance and we already have customers asking for it. As customers literally restart their engine in the coming months, many will find they need a new battery. As the most trusted brand in the category, we believe DieHard will drive incremental growth across all channels. Second, we are committed to building awareness for Advance. Our advertising highlights the way we help motor its Advance with care and with speed and it features our very own team members. We’re pleased with the feedback from our customers and the response to it. Third, in terms of loyalty, we re-launched our Speed Perks program last year and continued to see improvement in Speed Perks transactions. Through our new app, Speed Perks members can quickly view their points and available rewards and get exclusive deals and check out faster. We are also excited that despite our lower sales volume, we saw double-digit increases in Speed Perks sign-up year-over-year. At the end of Q1, we had more than 13 million active members, an increase of over 20% year-over-year. Finally, our fourth area of focus in DIY is beginning to deliver measurable growth, as our execution continues to improve. This includes increases in both UPT and sales per ticket and reductions in average fulfillment time in Q1. In terms of ticket count, we saw extreme pressure on resale of ticket counts in the quarter due to COVID-19, however our eCommerce business was strong and we saw a double-digit sales improvement year-over-year in Q1. As we indicated, we’ve also seen a sharp uptick in DIY ticket count, both online and in-stores recently. Now as we move on margin expansion for the overall business, COVID-19 has required us to reprioritize our plan. While there are still many unknowns surrounding the pandemic, I want to give you a brief update on our key pillars of margin expansion. First, as we look to improve sales and profit per store, we continue to evaluate our footprint. During Q1, we closed our consolidated 28 stores, all of which were planned prior to the onset of COVID-19 and we opened five net new independent location. Additionally, we remain in full execution mode of consolidating our Worldpac and Autopart International banners and expect to complete this consolidation by year-end as previously communicated. Once complete, we believe we will be able to offer a broader product assortment to our professional customers, while reducing costs. We expect to realize additional savings this year in store labor and professional fees, as a result of the actions we took over the past few weeks. We expect that over time we will continue to improve our sales and profitability per store. Our second margin expansion priority is supply chain. We continue to execute cross-banner replenishment, which was temporarily slow in Q1, but not stopped. We remain on-track to complete this initiative by mid-2021. In terms of our warehouse management system consolidations, we completed our first implementations in one of our largest DCs with a new WMS system earlier this year. This facility is already showing improvements in fill rates, on-hand accuracy and other important service metrics. Due to travel restrictions and prioritization of critical projects related to our COVID response, we temporarily delayed converting other DCs for now. Our team is focused on how we can further improve this process when the time comes to ramp conversions back-up and complete this component of our transformation agenda. Our next pillar of margin expansion is category management. We increased our efforts even further throughout this pandemic to collaborate with our suppliers to help ensure consistent supply and optimize cost and insurance. In addition to material cost optimization, we continue to increase own brand expansion including Carquest branded park and the upcoming launch of DieHard. I am also excited to share that our new pricing optimization tool is on-track to launch mid year. Once completed, we expect this to give us much greater flexibility and agility, resulting in more effective and efficient management of pricing. SG&A productivity is our final pillar of margin expansion. During the quarter, we reacted quickly to sales decline with cost reduction. While these actions were insufficient to fully offset the sales declines in Q1, they will help us going forward and we believe we will see more significant benefits from them in Q2. In the first quarter, expense reductions included the continuation of our back-office consolidations, which were planned prior to the outbreak as well as the suspension of all travel and deferral of certain marketing expenses to later in the year. Related to the lower remaining CapEx, we reduced contractors and professional fees in Q1. Further, our safety focus continues and is delivering meaningful savings in our insurance and claims expense. I am proud to share that we once again reduced our recordable incidents and collision frequency rates during the quarter by 30% and 14% respectively. Our team has done tremendous work to help to keep our team members safe, as part of our COVID-19 response. Despite the additional cost we’ve incurred related to these efforts. I know, they are helping to protect our team members and customers and believe we will all come out of this stronger. As I said when we began today’s call, there is no playbook on how to response to a global pandemic. But in many ways, we’ve written a very good blueprint, as we benchmark versus other companies. This includes everything from new safety measures in our stores and distribution centers to additional benefits for our team members, the new industry leading solutions for our customers. I’m incredibly proud of all of our team members because of their hard work we believe we will emerge stronger, more innovative and more agile than ever. With that, I will turn it over to Jeff for details on our financial performance.
Jeff Shepherd: Thank you, Tom and good morning everyone. Before I begin, I want to echo Tom’s comments and extend my personal well-wishes to everyone joining us this morning. I hope you and your families are safe and well. I also want to thank our approximately 67,000 team members and all our Independent partners for their relentless dedication and resilience throughout the past couple of months. As expected, we experienced headwinds associated with the COVID-19 pandemic and our first quarter results were below our expectations. In the first quarter, our adjusted gross profit was approximately $1.2 billion, which was a decrease of nearly 11% compared to Q1 of the prior year, primarily driven by decreased sales. Adjusted gross profit margin of 43.5% declined 113 basis points from the prior year quarter due to supply chain de-leverage, product mix and tariff related cost increases. These were partially offset from pricing and lower LIFO headwinds. Our adjusted SG&A was approximately $1.1 billion in Q1 and was relatively flat compared to Q1 2019. As a percentage of net sales our adjusted SG&A expenses increased by 326 basis points to 39.6%. While we took several actions to reduce costs in response to the COVID-19 pandemic, the majority of the savings will be reflected in the balance of the year. Given our commitment to provide a high-level of service for our customers, we did not deliver the amount of SG&A productivity that we have seen in prior quarters. In addition, as Tom said earlier, when the impact of the coronavirus became apparent, we took measures to help protect our team members and customers including increased cleaning and sanitization of our stores and distribution centers, personal protective equipment for our front-line team members and changes to our sick time policy. These actions resulted in approximately $16 million in operational costs. Adjusted operating income in Q1 was $104 million, which declined 57% compared to the prior year quarter. Our adjusted OI margin rate decreased 439 basis points to 3.9% in the quarter. Adjusted diluted EPS for Q1 was $0.91, a decrease of 63%. Moving to free cash flow, in the first quarter of this year, this was an outflow of $72 million as compared to the inflow of $143 million in the same quarter last year. This was directly related to decreased sales and increased working capital. In addition, higher capital expenses were incurred prior to the pandemic in Q1. As we began the year, we planned higher capital expenditures and we’re executing on our projects, as expected. Therefore, our CapEx increased 35% in Q1 to $83 million. We will continue to prioritize projects that we believe will offer the greatest return on investments. In addition, we’ve taken several other actions to improve free cash flow, including converting a greater percentage of our suppliers on the supply chain, financing. Given the current economic situation and uncertainty around the full impact of COVID-19, we do not believe it would be prudent to provide financial guidance at this time. That said, we remain committed to our long-term financial priorities to invest in the business, maintain an investment grade rating and return excess cash back to shareholders. As previously mentioned we are continuing to invest in our business and intend to prioritize the projects that yield the greatest return. Additionally, as Tom mentioned, we took steps in the first quarter to safeguard our balance sheet. This includes borrowing $500 million against a previously unused $1 billion revolver and issuing a new $500 million 10-year note at 3.9%. This strategic offering provides us with additional liquidity at a lower rate than our two outstanding notes due in 2022 and 2023 respectively. I’m extremely proud of the speed and agility our team demonstrated through this process to bolster our cash position and provide flexibility. At the end of the quarter, we had approximately $1.3 billion in cash on hand, including the impact of our financing actions in the quarter. In Q1, we repurchased approximately $29 million in our common stock. As announced previously, we suspended our share repurchase program, given the current environment. Finally, as Tom mentioned, given the focus we have placed on our financial priorities and the work we’ve done to strengthen our balance sheet in recent years, we were able to significantly increase our dividend earlier this year. As you saw in our earnings press release, our Board has approved a Q2 dividend of $0.25 per share. As we continue to manage the business through the COVID-19 pandemic, we remain committed to improving total shareholder return over-time through a balanced approach of investing in our business and returning cash to our shareholders while continuing to strengthen our liquidity position. I want to reiterate what Tom said earlier. This is an unprecedented situation and the uncertainty will no doubt continue for some time. The good news is that our team is really stepping up to the challenge. Across the company, our people are as committed as ever, going above and beyond, as they respond to this crisis. I truly believe we have the best people in the industry and that we will come out of this stronger than before. With that, let’s open up the call to address your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question this morning comes from Simeon Gutman from Morgan Stanley. Please go ahead.
Simeon Gutman: Thanks, good morning everyone and thanks for the color. My question is, the industry looks like miles driven down 20 to 30 across the country, your comps are flat quarter-to-date, and some states haven’t reopened yet. How do you assess – how do you look at the sustainability of demand? I know there’s a lot of factors at play and you mentioned some of them, but how do you assess that in the current period? Thanks.
Tom Greco: Yes, sure. Good morning, Simeon. Good question. I mean, we’re obviously experiencing a pretty unprecedented time. So, I can tell you what we’re seeing so far. Obviously, it’s very difficult to predict what’s going to happen in the future. But so far I think, there is some industry-related factors that are helping DIY. As you know, the industry in terms of DIY particularly has benefited in economic downturns, any kind of unemployment pressure means more people are going to be doing work on their own vehicles, so I think that helps. The stay-at-home and social distancing mandates are a factor. When we benchmark China, we talk about some of the trends that are going on in China. We do hear about an aversion to mass transportation, people more likely to using their personal vehicle, so that’s going to be a factor. We’ve also seen because of social distancing and shelter-in-place an increase in demand for items that degrade when they’re not used such as batteries. So, a couple of important industry factors there people at home, more time on their hands, doing do-it-yourself projects. So, those are some things for the industry at large. In terms of Advance, we did a tremendous amount of work to ensure that our stores were safe and kept our team members and customers healthy during this crisis. We’ve been on a multi-year safety journey as you know, and the enhanced practice that we put in place we think benefited us. We had the highest NPS scores we’ve had in a while during the middle of the pandemic, so that obviously we did a good job of preparing our stores. I think also the omni-channel capabilities that we’ve been able to bring to life of help in terms of Advance Same Day, the app that we spoke about, and then finally, we just launched our marketing campaign, which early returns are good. So, when you look forward, are they going to continue the DIY trends, it’s obviously difficult to say, but the things to consider for sure the miles driven is the big unknown, right. I mean you could make the case for reduced miles driven you could make the case for more miles driven. We do know it’s likely that the fleet is going to age because new vehicle sales are going to be down this year. I do think the mass transportation point is going to continue, and there is a whole question around vacations. This weekend, we expect to see a record number of cars on the road, people are not flying. So, they’re going to be driving to where they’re going. So there are some very positive things going on from an industry standpoint, a bit of a silver lining, I suppose for the DIY business through all this unbelievably difficult time. And then we’re very optimistic about our marketing plans. You get the full impact of our 2020 advertising. We’re launching DieHard, but I have to temper that with the unknowns that you’ve referenced, which is are there going to be fewer commuting miles driven, is there additional COVID impact balance of the year, the degree to which unemployment effects people. Those are all on the client side, so that’s kind of the lay of the land from our standpoint.
Simeon Gutman: That’s helpful. My just one follow-up is a little bit technical. Can you share supply chain cost within gross margin? What percentage are they of cost of goods?
Jeff Shepherd: Yes. We didn’t break out the individual components of supply chain over gross margin in particular, but we can’t give you some color around just sort of the gross margin rate, which I think is probably the question you’re driving at the – specifically, we have cost increases, which, as we’ve said previously, we’re going to continue to see the headwinds from the full impact of the tariffs. That’s going to subside in the back half of 2020, but Q1 – and likely into Q2, we’ll continue to see that. In our cold weather-related categories, we are down significantly year-over-year and that impacted our product mix. And then supply chain did de-leverage, and that’s directly associated with the $250 million revenue decline. On a dollar basis, the supply chain costs were actually improved on a year-over-year basis as we continue to take out costs.
Simeon Gutman: Okay. Thanks, Jeff. Thanks, Tom. Take care.
Tom Greco: Thank you.
Jeff Shepherd: Thank you.
Operator: Our next question comes from Michael Lasser from UBS. Please go ahead.
Michael Lasser: Good morning. Thanks a lot for taking my questions. Do you think within your markets that you’ve been able to maintain your share of the DIFM business, particularly as you’ve consolidated some of your stores and closed your stores? And how your time to fill rates trended over the last eight weeks during the COVID crisis?
Tom Greco: Good morning, Michael. It’s obviously difficult to always measure the share inside a professional. As you know, we don’t get anything on that. We do get DIY share, which we actually feel really good about. But on the Pro-side, I do know that we had record membership increases on Technet in the quarter. Bob has stayed extremely close to the largest customers on the professional side as have I. I’ve been calling the CEOs of key large customers and trying to stay connected in this difficult time. And what we’re launching now with this – on the Pro side, which is really a fully integrated solutions package for our customers, MotoLogic, MotoVisuals, the CTI platform, we actually feel very good about it. I mean it’s going to be an interesting couple of months to your point on the professional side. Obviously, the large strategic accounts, the big Technet shops for us, we think are going to do well. It’s going to be probably a little more challenging for some of the smaller players. So, in terms of share, it’s difficult to say. I do know that geography by geography, we’re measuring the sales per account and number of accounts and all of those things you’d expect. The Pro-business is improving every week, and last week was the best we’ve seen. So, once shelter-in-place comes-off, I think we will see a recovery on the professional side of the business to the degree of which is still unknown, but we do expect it to improve from here.
Michael Lasser: And Tom, my follow-up is, do you think it’s realistic for the Auto aftermarket to plan for positive growth in the second half of the year?
Tom Greco: Yes. Again, it’s similar to Simeon’s question. It’s tough to say. I mean there is a lot of things that are at play, probably more than ever. As I kind of rattled through the factors that we’ve looked at Michael, I think, on the DIY side, obviously, we are probably more optimistic, just based on the way that the pandemic has played-out and the consumer behavior changes that are out there. I mean, I think you’re seeing customers are really up for grabs, across broader retail and whether it’s lucky or timely, I mean our advertising hit at right at the right time for us. I think we’ve got a lot of good initiatives on the DIY side. And I think the industry should perform well there. I think on Pro, it really becomes a function of miles driven and what happens from here with shelter-in-place orders in some of these key geographies.
Michael Lasser: Thank you.
Operator: Our next question comes from Matt McClintock from Raymond James. Please go ahead.
Matt McClintock: Hi, yes, good morning everyone. I hope you’re all well and your families too.
Tom Greco: Yes. Good morning, Matt.
Matt McClintock: So, Tom, I guess two questions. The first one is just when you think about the longer-term transformation that was under way prior to COVID. Maybe it will just be helpful, if you could kind of give us an idea of what initiatives you’ve actually accelerated during this time-frame and what initiatives have actually been pushed off due to uncertainty or just prioritization needs? Thanks.
Tom Greco: Yes, sure. I mean this has been an interesting case study I think for every company Matt, to be borne, I mean, when this thing hit, we immediately huddled in a virtual room and went through our list of priorities and obviously we established the three things that we talked about and outlook was to certainly prioritize the health and safety of our people and our customers; number one. Number two, preserve cash and protect the P&L during the crisis. And then we wanted to have a few people that we are thinking about, Okay, what’s going to happen post the crisis and how do we come out of this stronger than ever once the crisis is over. So those were the platforms that we established. And then we took every big initiative that we had, we put it through the lens and we determined whether we were going to accelerate it, continue it, differ it or stop it altogether. And everything that we had was put through that lens and we put our decision around it. So the examples of the accelerate, clearly the Advance Same Day was an accelerate. We saw that the consumer was going to need parts urgently. We were not going to have necessarily people leaving their home, there were shelter-in-place orders happening. So we stood up Advance Same Day, which had been in test in a market in the fourth quarter. And what was a protracted timeline to roll it out became a better week and now we’re pretty much where – I think we’re up to about 70% of national with that capability. So that’s an example of an accelerate and the differ would be something like the warehouse management system implementation on supply chain. And this is a great project for us, we love the project. Unfortunately to stand up a distribution center into lap of all the tech platforms in that distribution center and get the building operational, you need a team of experts that has to go into that building and help them organize things and set the building up and set up the new warehouse management system. So we had to defer that. Now Reuben and his team are thinking through, how do we do that in a virtual environment because we’re definitely not going to stop doing that, we’re going to do that, but it’s delayed by a couple of months. So that’s really the process that we went through and the narrowing of the priorities, the simplification of what we were trying to accomplish enable us to move very quickly on things like Advance Same Day or supply chain financing or the bond offering, which obviously helped us, get secured on our balance sheet liquidity. Those are the things that we accelerated and then the things that get deferred, we’re evaluating start-up timing from here.
Matt McClintock: Thanks. That’s hugely helpful. And then a quick one, just – you kind of implied this. But I wanted to make it more explicit on consumer behavior changes regarding e-commerce, historically, this is maybe one of the lesser penetrated retail sub-industries from e-commerce perspective or is that now changed completely is on the back-end of this, are we likely going to see much more accelerated acceptance by the broader consumer of those terminals. Thank you.
Tom Greco: Sure. Yes. I mean I think we’ve been studying this at length, not just inside of auto parts, but more broadly across all of retail. I mean a lot of experts out there would say that we just kind of move 3 years at once in terms of omni-channel. The people who perhaps that never ordered online groceries in their lives have now done so and become comfortable with it. So again somewhat fortuitous we launched our app right in the middle of it. We’ve been working very hard at our functionality on our global site inside of our desktop side. Obviously the fulfillment options that we had ready-to-go helped us. So yes, I think that consumers are going to be more pre-disposed to order online and the investments that we’ve been making over the last several years candidly in our technology platform, in our catalog functionality, in our online experience I think are going to help us going forward. So I do think that is kind of an acceleration of a trend that we saw coming. We had a pace of change that was outlined in our 5-year plan and I think that just got accelerated.
Matt McClintock: Hugely helpful. Thanks a lot. Best of luck.
Tom Greco: Thank you.
Operator: Our next question comes from Kate McShane from Goldman Sachs. Please go ahead.
Chandni Luthra: Hi, this is Chandni Luthra on behalf of Kate McShane. Thank you for taking our questions. I guess what we wanted to understand was in terms of when you talk about traffic and ticket and especially in more recent weeks and comps have sort of improved significantly. What are people buying really, you talked about batteries. But what else is sort of being looked at from people’s basket standpoint.
Tom Greco: Yes. I think in the first quarter as we have highlighted our tickets were down significantly, dollar per ticket was up. I think, as we move through the pandemic and start to see the changes in consumer behavior, you are seeing some of those failure related categories come to light because people’s cars are sitting in their garage and they’re not being used and suddenly they go out and they try to start it and they find they need a new battery. So for sure, we’re seeing that. I think down the road, you can see other break fix categories that will come to light as people start to drive them. To some degree, we’ve seen some increase in project related work, whether that’s something as simple as washing your car. I mean, you hear people haven’t washed their car in 30-years that have decided to go out and wash their vehicle with their son and teach him how to wash a car. Those are things that I think you are seeing a little bit more broadly across the consumer landscape where you’ve got people sitting in their homes and you can only watch them at Netflix and you decide what to do and you go outside and maybe you fix something in your yard or maybe you work on your car. So those are some of the things that we’re seeing.
Chandni Luthra: Okay. That’s helpful color. Thank you. And if you could please throw some light on the health of independents. What are you seeing there in terms of your 1,500 independent businesses? What are you seeing on those lines? Thank you so much.
Tom Greco: Sure. We feel great about our independents program. We’ve made tremendous enhancements in our technology platforms, in our availability. We’ve really worked hard on our catalog to improve it for our independent, it is so important for us. The merchant team under Mike Broderick’s leadership has really helped the inventory situation for our independents. There is a robust marketing plan this year for them that we haven’t had in the past. So honestly, I think the interest in our Carquest Independent program is at an all-time high and the person leading it is a great executive junior, where he has got tremendous experience inside the company. I think we’ve provided an extraordinary level of support and we’ve helped them with safety during this crisis which has helped us. So we feel very good about it. These are generational businesses. People who know the Auto Parts business called and we value them greatly.
Chandni Luthra: Okay. Thank you so much.
Operator: Our next question comes from Bret Jordan from Jefferies. Please go ahead.
Bret Jordan: Hey, good morning guys.
Tom Greco: Good morning, Bret.
Bret Jordan: You mentioned in the prepared remarks that you continue to evaluate the footprint. Could you talk about sort of how you see that evolving store closures? And is there anything in particular, I guess are the stores you’re closing ex-Carquest stores that might be physically smaller, any regional markets you’re sort of favoring versus others?
Tom Greco: Yes. I mean, we’re definitely going to put this through the COVID lens to your point, Bret. We had a plan of a certain number of closures. I think we closed 20 odd stores in the first quarter. But as we’ve said previously, that was sort of winding-down. As we go forward, we’re definitely looking at opportunities to refresh our fleet and strengthen the brand itself and the appearance of our stores and the customer experience inside of the store. And once again, given the changes with COVID and what’s happening and significant implications for real estate prices and construction costs and all of those things down the road, we’ve got to put that through that lens, because the world has changed a little bit in that regard, so more to come on that. We’re not in a position to comment on that yet, but there’s a lot of new information I suppose that has come to light in the last 2-months that is different than our original thoughts going into it.
Bret Jordan: Okay. And then I guess follow-up, when you think about recent trends and whether it was stimulus check driven or whether the unemployment bonus checks are helping, do you see anything that would say that improvement demand is sort of a sugar high on government subsidies or is this real demand that you see continuing into the summer months?
Tom Greco: Yes. Again, it is difficult to say. Obviously, the stimulus helped all of retail, but we can see proportionately auto parts versus more broad retail at least DIY that is right. So I think some of the factors I mentioned earlier whether it’s version to mass transportation or higher unemployment rates, causing people to need to work on their own cars, do some lease on the projects on their own car. Until this thing is resolved with a vaccine, I think there is probably some temporary benefits for the industry.
Bret Jordan: Great. Thank you.
Operator: Our next question comes from Liz Suzuki from Bank of America. Please go ahead.
Liz Suzuki: Great, thank you. Has there been a noticeable acceleration in the percentage of your sales that are taking place online either buy online, pickup in-store or ship to home since COVID and any numbers you can put around that, if that’s been the case?
Tom Greco: Yes. We have definitely seen an acceleration in DIY broadly, Liz. I think that proportionately more in e-commerce, but much of the e-commerce in fact has been buy online pickup in-store, which is the majority of our sales. And I think we’re very pleased with the improvement that we’ve seen there. So it’s definitely not just a complete shift to shift-to home, which might surprise you, but we have seen a significant uptick. I think the fact that we have the parking lot services and will install a battery for free and then will install a wiper blade for free helps us in that regard. And when we started our advertising, the week of April the 20th, we wanted to make it very clear to customers that that was a service that we had. And I think if you watch the advertising, you’ll see that we make it very clear that we have that free parking lot services, which I think helps us with buy online, pickup in-store given the speed, convenience with which a customer can get their problem solved and obviously the advice they get from our employees.
Liz Suzuki: Great, thank you. And now is there any update on the partnership with Wal-Mart that you can share?
Tom Greco: We continue to work with them on the things that we’ve spoken about in the past. They’re a great partner. You saw their performance this morning. It’s a great organization. We continue to add parts to their website. We said before that we’re only going to do that when the experience is really, really strong and differentiated versus other alternatives that people have online, but nothing particularly new to report there, but we’re continuing to work very closely with them and grow this business. This is a long-term partnership that we believe over-time can really give customers a differentiated experience versus the alternatives that somebody have.
Liz Suzuki: Great. Thank you.
Tom Greco: Thank you.
Operator: Our next question comes from Scot Ciccarelli from RBC Capital Markets. Please go ahead.
Scot Ciccarelli: Good morning, guys. Hope everyone is well there. Given your comments previously regarding the significant sequential improvement every week of the quarter so far and how that comps are about flat. I guess we can assume that comps have turned positive, probably in the last week or two. So I guess the question is, can you help us better understand the slope of the curve. In other words, were you down 2% to 3%, now you’re up 2% to 3% or was it a much greater magnitude than that?
Tom Greco: Yes. Well, good morning, Scot. I hope you’re safe and healthy also. I think that we did report week ending March 28, week ending April 4, but enterprise, which of course includes all of our business professionals DIY, Canada everything was down 28% for those two weeks in a row. And that proved to be the absolute peak impact if you will of the pandemic. It was of the low point for us in terms of decline. And then from there improved each week literally sequentially including last week. So I think to the earlier question I think Bret may have asked, we did see an increase on the week of the stimulus, but the week after the stimulus was better than the week of the stimulus. And then two weeks after was better than one week after. So we are seeing that sequential improvement. And I think it’s more to do with the gradual relaxing of shelter-in-place orders. I mean, obviously I have gone to stores, I mean at least here in Raleigh. And I see more cars on the road down here. I know it is very different across the country, I’m happy to talk about that geographically. But generally speaking, as more people start to get back on the road and get their lives back to some semblance of normalcy. I think, you are seeing us benefit from that.
Scot Ciccarelli: I appreciate that. Tom, I guess the question is like you had gone from down 28% and you comment that you’ve had that sequential improvement so far this quarter, if comps are overall flat. I mean, the last quarter or two, just had to be positive and I guess, I’m just trying to figure out how positive that might be?
Tom Greco: The last couple, yes, the last couple of weeks, mathematically have to be positive. You’re right.
Scot Ciccarelli: Okay, got it. Alright, thanks guys.
Operator: Our next question comes from Seth Sigman from Credit Suisse. Please go ahead
Kieran McGrath: Thanks, guys, this is Kieran McGrath on for Seth. Two questions from us. Firstly, lot of initiatives ongoing including DieHard launch, your loyalty program, dynamic assortments and obviously the Walmart partnership as well. I’m curious the timeline for these have changed versus your initial plan and what is your ability to keep them on track amid all these moving pieces you’re seeing?
Tom Greco: Well, I mean to the earlier question, we did put every single initiative through the COVID lens and we made a determination, accelerate key differ stop kind of categorizing them. So to some of the things that you raised, DieHard we’re moving rapidly, OK. Our team members cannot stop talking about DieHard, they are so fired up about this iconic brand that we are going to launch here. We believe it will drive people, everything that we see, says that will drive people who Advance Auto Parts. So there was no slowing down whatsoever with DieHard and we do plan to launch that brand with a fully integrated marketing plan this summer. The equity that it has is reliable, it’s powerful, it’s high quality, it does a lot of really good things for Advance. So, the majority of the bigger value-driving initiatives we have are either accelerated or were in-line with the timeline. The things that we deferred are more longer term things. We spoke about the warehouse management system implementation, which we know is going to take time. Now that said, we talked about in the prepared remarks, the cross banner replenishment initiative, which is simply taking stem miles out of our supply chain and rerouting stores or pointing stores, at our distribution center that’s closer. That’s slowed a little bit, but we still feel we’re on track to deliver that by the middle of 2021. So it does vary by project that we put it through this prioritization process to determine what got accelerated, what got deferred and what was continued.
Kieran McGrath: Thank you. And then secondly, it’s a bit more tactical on the expense side. So you discussed there is more opportunity to reduce cost in Q2, firstly on that. Is that going to ramp during the quarter and how should we think about these cost reductions going to hedge. And then on the $16 million PP&E cost. Again, I assume that was not going into Q2 and how should we think about these costs going to the back half? Thank you.
Jeff Shepherd: Yes, sure. As we think about the Q2 margins or even the balance of the year, it’s obviously too early to provide any guidance, just given the amount of uncertainty we have in the current environment. But I can give you some color what we see quarter-to-date based on the sales trends that we’ve talked about in our prepared remarks and Tom has commented I think in earlier questions, we’ve seen a sequential improvement every week and the overall comp sales were in-line with the first four weeks of our last year’s quarter. So we do expect that the actions that we took in the first quarter to provide cost benefits through the balance of the year. In the second quarter, in particular there is going to be some offsetting headwinds to these cost savings to the actions that we had in Q1 that are going to give us the savings in Q2. We are going to continue to prioritize the health and safety of our team members and customers. So we do anticipate those COVID cost to continue. This includes cleaning our stores, our distribution centers, providing the personal protective equipment to our front-line team members. And as I said, we expect that to continue throughout the year. The question that becomes, of course, how much will it be – a lot of it will vary state by state in terms of what the restrictions are, will continue to be sort of what is the new normal of retail, sort of the way to think about it. And then in addition, we deferred some certain marketing expenses in the first quarter and we expect to invest in our advertising campaign as well as DieHard in Q2. We expect the marketing in DieHard to – if they are going to drive top line benefits in the back half of 2020 and beyond, but these factors will offset some of those benefits in the second quarter.
Kieran McGrath: Great. Thank you very much.
Operator: Our next question comes from Michael Montani from Evercore ISI. Please go ahead.
Michael Montani: Hey guys. Thanks for taking the question. I just wanted to ask two things, first was just on the top-line front, just curious to know at this stage you know how many of your stores or maybe what percentage of your markets are still operating with kind of shelter-in-place restrictions. And then secondly, related to that was on the DIFM side, you mentioned that overall comps that turn positive, does that mean that the commercial side is now positive as well?
Tom Greco: Sure, Michael. Well, first of all on shelter-in-place as, it does vary by state and the phases are varied and then different companies have different policies surrounding whether you can return to work. So I think we can safely say that there is at least the professional or lack of a better term, the white-collar workforce across the country is still largely working remotely. There are some geographies that are much more impacted by COVID though as we called out in our prepared remarks. The Northeast, the Mid Atlantic, the Great Lakes, where it’s so much more real for those of you up there. Our hearts go out to you, because it’s just – you can just feel it, when you’re speaking to people that are up there. They know people that have been infected. They may know someone who has passed away. It’s just very, very different there than it is in Mississippi and Alabama and other parts of the country that are less impacted. So from our standpoint, those are big geographies for us. So we’re looking forward to a relaxing of those measures, obviously you saw Governor Como on CNN on the weekend talk about it and what’s happening in New York. So when those things come back, we’re really excited that our teams up there will start to see some of the benefits we’re seeing in other parts of the country. So that’s kind of where it is on shelter-in-place. What was your second question again?
Michael Montani: Second part was just to see if the commercial side had turned positive as well, just thinking DIY might be up double digits, but didn’t know if commercial was up.
Jeff Shepherd: Yes. We’re still down on Pro.
Michael Montani: Okay. And then the last thing I had was on the expense side. SG&A dollars have been down for three quarters in a row, it sounds like even though COVID expense was going to persist that the second quarter SG&A dollars could be down more than the first quarter year-over-year. I guess, is that kind of a fair way to think about it. And from a gross margin front, can those start to actually stabilize and turn positive in 2Q or is it really more of a back half just given the tariffs?
Jeff Shepherd: Yes, sure. So on the SG&A, we do think we can continue to take cost out. As I said, there are going to be some investments, in particular marketing and DieHard and then to your point, the COVID related expenses will continue to be a headwind throughout the year. Obviously, the question becomes how much that one is a little bit more challenging to predict. But again, we took significant actions very late in the first quarter. Unfortunately, we did not see a lot of benefit. We absolutely expect to get that in the back half of the year. Specific to GM rate or improvement there, like we said, in dollars we improved year-over-year in our supply chain. We had less dollars, it was just the $250 million revenue decline we were deleveraging. And then some of it is mix, as we’ve said the cold weather-related categories were down in the quarter, which had a pretty significant impact on product mix, if we start to see those trends changing, we could get some leverage in gross margin as well.
Michael Montani: Thank you very much.
Jeff Shepherd: And the last thing I’ll add, we will allow the tariff increases in the back half.
Michael Montani: Okay. Thank you.
Operator: Our next question comes from David Bellinger from Wolfe Research. Please go ahead.
David Bellinger: Hey, good morning. Thanks for taking my questions and hope everyone is staying safe. So given the volatility of sales trends and maybe some disruptions throughout the supply chain, has there been any difficulties around parts availability and how are you managing delivery frequencies now? Have you been able to flex that quickly, given the changes in demand?
Tom Greco: Yes. I have been amazed at how well our team has collaborated together, David. During this pandemic the supply chain team, the inventory team and the field, they’ve reacted just so quickly. It’s really galvanized that group in many ways. And as you know, we’ve had a lot of new people come into Advance over the last couple of years. In some ways, this is really brought them together as a team. So the overall in stocks on our primary SKUs have been terrific. And to your point, as we flex hours of operation down and adjusted replenishment frequency down, we moved quickly to do that. And as it’s gone back up, we obviously use the data to make decisions on how to change that going back the other way and extended hours of operation and then increase replenishment frequency. Our end-market-deliveries continue to help us. The availability of parts that we have across all of our banners including Worldpac, Autopart International Carquest Advance, we’re leveraging better than ever. So I think we look closely, I just met with the team yesterday on our assortment work and how we’re doing on stock rates and those things given dynamic assortment and we feel pretty good. So I think again, speed and agility is kind of important right now to react to these ever-changing circumstances and I think overall we’ve managed it well.
David Bellinger: Yes, that’s very helpful. And maybe just a following up on some earlier questions, can you elaborate on the trends you are seeing in the online channel, anything surprising in the makeup of sales that has shifted online. And could you talk about how big maybe as a percentage of sales, the digital business has become in recent weeks?
Tom Greco: Yes. We were not going to break that out David, but I think from a trend standpoint, we definitely have seen – we mentioned batteries surging, we’re seeing that inside of online. I think, to some extent. Given the prioritization that pure online retailers have to put on the food and beverages and staples and things like that. If you go order something, that – let’s call it part of the proverbial long tail, those timelines for fulfillment are pushed out, which I think helps us as a pure play auto parts retailer very focused with our expertise and what we’re lifting up. So it is been pretty much across the board that I think the general trends that we mentioned earlier, be that batteries or wash and wax, some of those things that are project-related we’re seeing similar list. But I don’t think I’ve seen anything disproportionate to online, which I think is your question. I think all boats have risen here and we’re seeing it in our retail operations, we’re seeing in our same-day pickup in store, same day curbside, same-day delivery.
David Bellinger: Got it. Thank you very much.
Operator: Our next question comes from Brian Nagel from Oppenheimer. Please go ahead.
Brian Nagel: Hi. Good morning. Thank you for taking my question. So the first question I want to ask is, as we look at the recent sales trajectory, particularly the pickup in sales lately in the DIY side. Given the data of your loyalty program, are you see indications of any benefits for channel shift, when looking at there is clearly Advance in your specific category has been designated as essential? But if there have there been – were there other venues that maybe have no have not been and those customers are transferring your purchasing into your stores?
Tom Greco: Yes, it’s a great question, Brian. It’s obviously difficult to say. But I do think that retailers who have prioritized safety broadly. And again we have been on a multi-year safety journey. We’ve got a world-class expert that we hired two years ago to help us with health and safety across the enterprise. And when this happened, he stood up a pandemic team across the enterprise that is on a call daily with our entire field organization, seven days a week, managing all of the things that are going on, making sure the Plexiglass Shields are going up, making sure the masks are getting to our people, making sure the independents have sold hand sanitizers and all of those things that are necessary in this world. And I think that we communicated that broadly across our website, weekly with written communication, in some cases, video communication. So I think anybody that’s doing that is going to benefit from it in the short term. I think separately to that maybe underneath your question, the fact that we have a 7,000 square foot format with two to three experts working in the store, might be more appealing than another box at this stage of the game for Auto Parts. But that’s purely speculation we’ve done some analysis on that. I can tell you, I’ve seen anything that says that’s actually true, but that’s somewhat speculative, but I think that’s kind of where you’re headed.
Brian Nagel: It’s very helpful Tom. The follow-up question I have, I mean clearly, as we think about either Q2 or into the back half of 2020, there’s a lot of moving piece here, given the COVID-19 crisis. But you’ve mentioned in your prepared comments we discussed before, the impact would prove to be a decidedly warm winter on sales. So as you look through the balance of the year, do you expect that we will continue to see the impacts of the warmer winter or is that really isolated to the negative effects isolate to the beginning of the year?
Tom Greco: Well, for sure impacts, the heavy, heavy impact in January, February I mean cold weather categories are much obviously more relevant in those months that there is winter itself. There are some residual things, if there’s not a lot of snow, we don’t get plows on the road, they don’t tear the roads up, there is no not as many potholes. And then that affects on your car in some of those categories. At the moment, we do see some softness in some of those categories, but that’s not a long-term thing. I mean we would have experienced most of it by now. And as you get into June and July that will subside and next year, we’ll see what happens.
Brian Nagel: Very much appreciate it. Thank you.
Tom Greco: Thank you.
Operator: This concludes the Q&A portion of our call. Now I would like to turn it back to Tom Greco for closing remarks.
Tom Greco: Well, thanks to everyone that joined us today. And as you’ve heard, we have tackled the challenges of the quarter head-on. We believe we’re in a very good position to move to the next phase of this pandemic and eventual recovery. No matter how challenging the last few months have been, we are steadfast in our vision of advancing the world in motion. And our vision is highlighted in our second annual corporate sustainability and social report that we published this morning. We are very proud of it. It’s all about driving financial performance as we develop our people, reduce our environmental impact and get back to our communities. And then finally, as we head into some Memorial Day weekend, I want to take a minute to recognize and express our sincere gratitude for all our nation’s heroes, especially those who paid the ultimate sacrifice defending our country. We are proud to be an employer of choice for so many military veterans and we look forward to increasing representation of veterans for years to come. We’re also committed to our long-standing relationship with building homes for heroes. In 2020, we are celebrating 10 years of support to this worthy organization, whose mission is to gift mortgage free homes to veterans injured while serving our country. We look forward to sharing more with you on our recovery efforts and the status of our business in August. Thank you.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.